Operator: Good day and thank you for standing by. Welcome to the Summit Hotel Properties, Inc. First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kevin Milota. Please go ahead.
Kevin Milota: Thank you, operator, and good morning. I'm joined by Summit Hotel Properties' President and Chief Executive Officer, Jon Stanner; and Executive Vice President and Chief Financial Officer, Trey Conkling. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown as described in our SEC filings. Forward-looking statements that we make today are effective only as of today, May 1st, 2025, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at www.shpreit.com. Please welcome Summit Hotel Properties' President and Chief Executive Officer, Jon Stanner.
Jonathan Stanner: Thanks, Kevin, and thank you all for joining us today for our first quarter 2025 earnings conference call. We are pleased with our first quarter results, which were in line with expectations despite the more challenging operating backdrop we began to experience in early March. RevPAR in our same-store portfolio increased 1.5% compared to the first quarter of last year, driven by a relatively equal mix of rate and occupancy growth. Continued strong cost controls resulted in EBITDA margin contraction of less than 50 basis points compared to the first quarter of last year as pro forma operating expenses increased a mere 1.5% year-over-year. Our RevPAR growth was primarily concentrated in urban and suburban markets, where growth continues to be driven by strength in group demand and the ongoing recovery of corporate transient travel. January RevPAR declined 1.5% in our same-store portfolio, primarily due to weather-related disruption, which created some pent-up demand for February when RevPAR increased a robust 8.1% year-over-year. For the first two months of the year, same-store RevPAR increased over 3%, driven by positive growth in all demand segments when adjusting for assets under renovation. We began to experience demand softening in early March, driven predominantly by weakness in government and government-related travel as well as a meaningful reduction of outbound international travel, particularly from Canada. March RevPAR declined 1.6% in our same-store portfolio and approximately 10% in our qualified segment specifically, which is a reasonable proxy for government-related demand. For the first quarter, qualified revenue, which represents approximately 5% of total room night demand for our portfolio, declined 7% year-over-year. In certain markets, softening demand has resulted in the need to shift our room night mix to lower rated segments, which puts downward pressure on year-over-year ADR growth rates. This was particularly evident in March as modest occupancy growth in our same-store portfolio was offset by a 2% decline in average daily rate despite absolute ADRs increasing year-over-year across most of our demand segments. Encouragingly, this suggests outright rate cutting is not yet occurring across the industry. These demand trends mostly persisted into April. However, the company faced particularly challenging calendar comparisons related to the solar eclipse from last year and the shift of Easter from March of 2024 to April of this year, which adds a layer of complication to evaluating year-over-year demand patterns. Driven primarily by these difficult comparisons, we expect April RevPAR to decline between 4% and 5% compared to last year. When isolating the first two weeks of April preceding the Easter holiday, demand in our portfolio remained consistent with January and February trends as RevPAR increased approximately 3% when excluding markets that were direct beneficiaries of the solar eclipse last year. It's worth noting that approximately 20% of our portfolio benefited from the eclipse, primarily in four markets Austin, Dallas, Cleveland and Indianapolis. In our press release yesterday, we announced the completion of the transformational renovation of our courtyard on the beach of Fort Lauderdale, which has been formally renamed The Courtyard by Marriott Oceanside, Fort Lauderdale Beach. The comprehensive repositioning of the hotel includes the complete redesign of the guestrooms and corridors as well as the reimaging of all of the public spaces and the exterior of the building. Our Poolside Bar and Sundeck provide unobstructed views of the Atlantic Ocean and have been significantly upgraded to drive incremental revenue. Finally, we unveiled a new lobby, restaurant, fitness center and retail space to further amenitize the hotel. Directly competitive oceanfront properties have historically achieved a meaningful rate premium to our hotel and we believe this capital investment will allow us to significantly increase our average rates and close this rate gap. We have also underwritten cash-on-cash yields of over 20% related to our investments enhancing the hotel's public spaces and food and beverage outlets, partially driven by our ability to capture outside guest spend due to the high foot traffic associated with our beachfront location. We believe there is tremendous upside in the operating performance of this hotel, given its irreplaceable location in a market with incredibly high barriers to entry. Let me take a minute to provide some perspective on the current outlook for the industry and our portfolio more specifically. Clearly, recent policy changes have created macroeconomic uncertainty and capital markets volatility that complicate the near-term outlook for our business. Our booking window is short-term under normal operating conditions as we typically book approximately 60% of our room nights within two weeks of stay. As uncertainty persists, we expect our booking window to continue to compress in the near-term, particularly as corporations await further clarity on trade policy and what effect the recent volatility has on the broader economy. We've experienced a modest pullback in demand in March and April, generally concentrated in government and international travel, which are two of our smaller demand segments, but have not yet seen the sort of broad-based reduction in demand or acceleration in cancellations experienced in the more severe downturns of prior cycles. History would suggest leisure demand will remain the most resilient segment during times of uncertainty. And our current expectation is for group demand to remain strong over the medium-term. While near-term uncertainty is the prevailing market sentiment, we remain constructive on the long-term prospects for our portfolio and are confident in our ability to manage through a period of softening demand. In prior downcycles, select service assets have outperformed on a relative basis, benefiting from an already lean operating model, and in certain times, a shift from price-sensitive customers away from full-service hotels. We have already been effectively managing expenses in a lower revenue growth environment as EBITDA margins in our pro forma portfolio have contracted only 15 basis points on 1.6% RevPAR growth over the past five quarters. This is particularly impressive as the industry has absorbed above inflationary cost increases. With the uncertainty of the current macroeconomic backdrop, we believe it's appropriate to provide a framework to assess potential outcomes for our full-year financial results given the wider range of possible demand patterns for the remainder of the year. Based on first quarter actual results and recent portfolio trends, our performance is currently tracking toward the lower end of our guidance ranges provided as part of our year-end 2024 earnings report for full-year adjusted EBITDA, adjusted FFO and adjusted FFO per share. We currently expect second quarter RevPAR to decline between 2% and 4% compared to the second quarter of last year. It's important to note that we faced particularly difficult special event comparisons in the second quarter as our results last year benefited from demand related to the solar eclipse across several markets, the Final Four in Phoenix, the 150th running of the Kentucky Derby and PGA Championship in Louisville, and Olympic Trials in both Indianapolis and Minneapolis. Achieving the midpoint of our second quarter RevPAR expectations would result in a RevPAR decline of approximately 1% for the first half of the year in our pro forma portfolio. Finishing the full year at the low-end of our guidance range for adjusted EBITDA, FFO and FFO per share implies positive RevPAR growth of approximately 1% in the second half of the year or essentially flat RevPAR growth for the full year based on reasonable flow-through assumptions. It is worth highlighting that our full-year assumptions now assume the lower end of our guidance range is achievable with flat RevPAR growth in 2025 compared to our previous expectations, which reflected 1% RevPAR growth at the low end. As a general framework, every 1% of full-year RevPAR growth equates to approximately $5 million in pro rata EBITDA or $0.04 of adjusted FFO per share, again assuming reasonable profitability flow-throughs. It is worth emphasizing that it remains relatively early in the year, and changes in government policy can have meaningful effects on lodging demand over the short-term. Finally, given the significant dislocation we've experienced in our stock price recently, our Board of Directors has approved a $50 million share repurchase program that we intend to utilize opportunistically to return capital to shareholders and drive value creation. Before I turn the call over to Trey, let me reiterate that we remain confident in the long-term outlook for the industry and our portfolio specifically. Despite the recent market volatility, we expect travel to remain a secular winner through cycles, and our high-quality portfolio of well-located hotels remains poised to benefit from these trends. With the recently announced closing of our delayed draw term loan, we have no significant debt maturities until 2027, ample liquidity under our revolving credit facility, and a track record of successfully navigating through uncertain periods. While we look forward to more stable operating conditions, we also continue to seek opportunities to create value in these volatile times. With that, I'll hand the call over to Trey.
William Conkling: Thanks, Jon, and good morning, everyone. For the first quarter 2025, RevPAR growth was driven by the company's urban portfolio, for which RevPAR increased nearly 3%, outpacing the total industry by approximately 80 basis points. The strength of the company's urban portfolio is better highlighted by the 6.8% RevPAR growth realized in January and February before broad macro uncertainty disrupted March demand. Urban markets delivering outsized growth include New Orleans, Tampa, San Francisco, Chicago, and Downtown Houston, all of which experienced first quarter RevPAR growth of 7% or higher. San Francisco, in particular outperformed in the first quarter with RevPAR growth of 13.5%, driven by a successful JPMorgan Healthcare Conference in addition to multiple other citywide events. This enabled our hotels to maximize compression opportunities, driving a 550 basis point outperformance to first quarter San Francisco MSA RevPAR growth of approximately 8%. Looking ahead, San Francisco is positioned for another strong quarter as convention pace is up over 30% in the second quarter. Strength in group also applied to our urban hotel portfolio broadly, for which group RevPAR increased 17% versus the first quarter of 2024 and over 30% relative to January and February 2024. The performance of our urban portfolio in the first quarter gives us strong conviction that Summit is well-positioned to outperform as the macro environment normalizes. Today, urban hotels comprise approximately 48% of our total guestroom count. The company's suburban and small-town metro portfolios generated average RevPAR growth of 1.2% in the first quarter, driven by our hotels in Portland, Hillsboro, Greenville, North Dallas, Frisco, and Southern California. We have invested significant capital into renovating many of our suburban and small-town metro assets over the past 24 months and expect strong relative future performance, assuming normalized conditions. Today, suburban and small-town metro hotels comprise approximately 29% of our total guestroom count. Summit's exposure to the resort location type accounts for only 11% of total guestrooms. One of our largest resort assets, The Courtyard Oceanside Fort Lauderdale Beach, just completed a significant repositioning and we expect this capital investment will provide a tailwind to our resort portfolio RevPAR growth for the remainder of 2025 and into 2026. Moderating expense growth continued in the first quarter with pro forma operating expenses increasing approximately 1.5% year-over-year as the company realized incremental progress across multiple aspects of our cost structure. Given modest revenue growth, our asset management team and hotel managers have successfully focused on managing wages, reducing hotel reliance on contract labor and improving employee retention. Hourly wages, excluding contract labor increased just 1.2% compared to the first quarter of 2024. The company continues to benefit from reductions in contract labor, which declined by 9% on a nominal basis and by 10% on a nominal basis and by 9% on a per occupied room basis versus first quarter 2024. Contract labor now represents 10% of our total labor costs, which is 750 basis points below peak COVID era levels, but 250 basis points above 2019 levels, suggesting the opportunity for further improvement. We also continue to see improvement in employee retention, which results in improved productivity in the hotels and reduced training costs. Finally, we continue to be encouraged by expense trends in our portfolio and how the current baseline cost structure positions the company for future bottom-line growth. Same-store RevPAR growth for the first quarter was 1.5%, driven by gains in both occupancy and average rate. Due to the company's strong retention efforts, hotel EBITDA margin contraction of 49 basis points finished better than the tight end of annual margin guidance provided in February 2025, despite modest RevPAR growth. First quarter adjusted EBITDA was $45 million, a modest decline versus prior year, driven primarily by the net effect of asset sales completed in 2024. First quarter adjusted FFO was $27.4 million or $0.22 per share as the company continues to benefit from lower interest expense, resulting from deleveraging efforts related to our strategic asset sales completed in 2023 and 2024. From a capital expenditure standpoint, in the first quarter, we invested $16 million in our portfolio on a consolidated basis and $14 million on a pro rata basis. Recently completed and ongoing renovations include The Courtyard Oceanside Fort Lauderdale Beach, Courtyard Grapevine, Springhill Suites Dallas Downtown, Courtyard Charlotte, Residence Inn Atlanta Midtown, and The Hampton Inn & Suites Silverthorne. The company's continued investment in our portfolio resulted in a RevPAR index of 114 for the first quarter of 2025 and a RevPAR index of 116 when excluding the displacement from renovations. During the first quarter, our portfolio incurred approximately $2 million of revenue displacement related to ongoing renovations, of which 75% was related to The Courtyard Oceanside Fort Lauderdale Beach. Adjusted for net renovation displacement in the first quarter, same-store RevPAR increased 2.4%. Our continued investment ensures the quality of our portfolio positions the company to drive profitability in the future. Turning to the balance sheet. In March, we closed on a $275 million delayed draw term loan. The proceeds of which will go to refinance the $287.5 million, 1.5% convertible notes maturing in February 2026. The delayed draw option is open until March 2026, which will allow the company to benefit from the lower coupon convertible notes through the balance of 2025, thus preserving meaningful cash flow. In addition, the balance sheet continues to be well-positioned with total liquidity of over $300 million, an average interest rate of approximately 4.6% and an average length to maturity of nearly four years when adjusting for the new delayed draw term loan. As a result of our interest rate management efforts, our interest rate exposure continues to be effectively managed with a swap portfolio that has an average fixed SOFR rate of approximately 3% and 71% of our pro rata share of debt is fixed after consideration of interest rate swaps. When accounting for the company's Series E, F and Z preferred equity within our capital structure, we were 77% fixed at quarter-end. With no significant maturities until 2027, a staggered maturity schedule and a strong liquidity profile, we believe the company is well-positioned to navigate any near-term volatility in operating fundamentals as well as to take advantage of potential value creation opportunities. On April 24th, 2025, our Board of Directors declared a quarterly common dividend of $0.08 per share, which represents a dividend yield of approximately 8% based on the annualized dividend of $0.32 per share. The current dividend rate continues to represent a modest payout ratio of nearly 35% based on the company's trailing 12-month AFFO. In addition, our Board of Directors approves a $50 million share repurchase program given the recent significant dislocation in the company's share price. We will provide updates on the utilization of that program as part of future quarterly earnings. The company continues to prioritize striking an appropriate balance between returning capital to shareholders, investing in our portfolio, reducing corporate leverage, and maintaining liquidity for future growth opportunities. As Jon previously highlighted, while we remain confident in the long-term outlook for both the industry and our portfolio, near-term fundamentals are being negatively impacted by broader macroeconomic uncertainty. Based on first quarter results and our outlook for the second quarter, our full-year performance is currently tracking toward the lower end of our guidance ranges provided in February 2025 for adjusted EBITDA, adjusted FFO, and adjusted FFO per share. From a non-operational perspective, we expect pro rata interest expense, excluding the amortization of deferred financing costs to be $50 million to $55 million, Series E and Series F preferred dividends to be approximately $16 million and Series Z preferred distributions to be $2.6 million. From a capital expenditure perspective, we are reducing our full-year 2025 spend to $60 million to $70 million on a pro rata basis, which represents a $10 million or an approximate 15% reduction at the midpoint. This will allow us additional time to gain clarity on trade policy and better understand the potential impact of tariffs on both renovation costs as well as the broader macroeconomic outlook. It is worth noting that over the past three years, we've invested over $250 million in capital expenditures on a consolidated basis, resulting in a portfolio that is generally in excellent physical condition. This capital investment affords us the flexibility to preserve optionality on certain renovations without risking meaningful downward pressure on overall operating results. The previously referenced non-operational estimates do not include any additional acquisition, disposition or capital markets refinancing activity beyond what we have discussed today. Finally, the increased size of the GIC joint venture results in fee income payable to Summit covering approximately 15% of annual cash corporate G&A expense, excluding any promote distributions Summit may earn during the year. And with that, we will open the call to your questions.
Operator: Thank you. [Operator Instructions] Our first question is going to come from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is open. Please go ahead.
Josh Friedland: Hey, good morning. It's Josh Friedland on for Austin. Can you give us a sense of how trends have evolved within government and international since the initial impact earlier this year? And does it appear that these segments have stabilized or are you continuing to see pressure in the booking window?
Jonathan Stanner: Yes. Hey, good morning, Josh. It's Jon. Look, I think that we felt the most acute impact from both segments in the month of March, particularly from a government perspective. I do think that they have stabilized albeit at lower levels. And I think we have some optimism that we'll see some recovery as we progress through the year. I think the sense that we get is that as part of kind of the government efficiency efforts, there was -- there were really broad-based and deep cuts. We lost significant portions of that business in certain markets. I think there's some uncertainty of how some level of that travel comes back, but we would expect some of it to come back as we progress through the year. So it certainly hasn't gotten any worse from a government perspective. And again we think that there is the potential to start to recoup some of those losses as we progress through the year.
Josh Friedland: Okay. All right. That's helpful. And as it relates to the BT customer, how have those trends evolved at this point relative to your initial expectations? And where do you see those going in the short-term?
Jonathan Stanner: Yes. Our mid-week negotiated business, again, which we use as kind of a proxy, broadly for business transient travel has held up reasonably well. I do think that's obviously one segment that you watch very closely as it tends to be a more reactionary to weakness in the broader economy. But the trends to-date there have not trended down in a meaningful manner. We've been fairly pleased with how resilient that demand segment has and it's held in relatively well. As we've said in the prepared remarks most of the softness in demand we have seen has been concentrated in those two demand segments we referenced.
Josh Friedland: Got it. Thank you very much.
Jonathan Stanner: Thanks, Josh.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Chris Woronka with Deutsche Bank. Your line is open. Please go ahead.
Chris Woronka: Hey, good morning, guys, and thanks for all the color so far. So kind of following up on the last question, is it fair to say that in addition to maybe government and maybe set aside a little bit of international inbound that you might have, is it fair to say that what's really being hit the most is kind of the shorter booked weekend leisure kind of these, I mean, what we like call extra trips, is that the bucket that you guys would say has been was kind of impacted the most thus far?
Jonathan Stanner: Yes. Well, I think it's definitely secondarily to the other demand segments that we've seen. I would say, broadly, we would expect leisure to be one of the more resilient demand segments. Our first quarter trends, which again, 60 of the days were under much more normal operating conditions. We continue to see growth driven mid-week and that's the group that we have and the recovery of BT, there was a shift in that beginning in the first part of March that largely carried through to April. Our expectation is there's potentially a little softness on the leisure side. But I do think historically, that's been a demand segment that's been more resilient in periods of economic uncertainty. And we would expect that to happen. Again, we don't think that there is going to be large-scale canceling of summer vacations, that feels almost like non-discretionary spend for the majority of household budgets. It may mean a little bit more domestic travel this year. It may mean a little bit more drive to travel than we've seen in the past, which potentially creates a little bit of a benefit for us. But we do expect that demand segment to hold up reasonably well this year.
Chris Woronka: Great. Thanks, Jon. And then, yes, look, obviously, Q2 is, you're kind of guiding to negative RevPAR. I think a lot of your peers may get there as well. And then maybe things will turn positive again with Q3, but at what point kind of on the -- when you think about working with the brands on, is it too early to kind of break the glass or on, maybe an opportunity to go back to the brands on some of the, I don't want to say COVID things, but COVID things that you did in kind of an effort because you guys have obviously had a lot of pressure coming out of COVID, you've recovered pretty well from that now. But at what point do you think to go back to the brands and kind of ask for some relief on expenses that might be somewhat discretionary?
Jonathan Stanner: Yes. Well, I mean, look, I think, I pointed out a couple of things. I've described what we've seen from a demand perspective as a modest pullback in demand. And I think, obviously, we kind of pointed to RevPAR for the second quarter being down between 2% and 4%. A lot of that is exacerbated by the special events comparisons we've referenced in the prepared remarks. And so this obviously is a very, very different set of dynamics than we had during the pandemic. It really feels nothing like the great financial crisis either. Demand while we wish it was better is far more stable than in either of those circumstances. I will say this. We are being proactive in terms of how we manage expenses and how we think about managing our capital needs. So you saw that in our first quarter numbers where we've -- margins have contracted less than 50 basis points on 1.5% RevPAR growth. We even saw it last year, if you go back to the beginning of last year over the last five quarters, essentially 1.5% RevPAR growth and we're pretty close to breaking even from a margin perspective. So I do think without going back to the brands and trying to put kind of COVID era controls in place like we've done a really good job managing expenses. And then the other thing is, look, we pulled out $10 million in CapEx spend from our initial guide as our expectation, it's about a 15% reduction at the midpoint of that range. To the extent that we see demand deteriorate further, there's probably incremental room for us to pull that lever. I would say those are the starting points for us. And again unless things get significantly worse, I think we'll be able to kind of manage through given the strength of the balance sheet and our ability to pull those levers.
Chris Woronka: Okay. Fair enough. Thanks, Jon. If I could just sneak a clarification question in. Talking about the mix shift, is that more about kind of going to a little bit more OTA opaque or is that more about contract stuff with cruise and the like?
Jonathan Stanner: Yes. It's a little bit more reliance on discount channels and that could be advanced purchase or any type of discount, it could be reliance on the OTAs, which is offsetting kind of declines in the qualified segment, which is government-driven and some declines in retail. But again I'll point out and we'll continue to emphasize this. Part of what we're seeing in the retail segment is driven by calendar shifts. And whether that's the Easter shift or in April in particular, where we had, this really significant demand from the solar eclipse last year, which helped a significant portion of our portfolio. And so April became a very difficult month for us to discern what kind of underlying trends are because of those calendar shifts. And so when we look at the first couple of weeks prior to the Easter holiday, we're up a couple of percent excluding the markets that were affected by the solar eclipse. That's even with knowing we were going to have to shift segments. When I look at the rates, the absolute rates by segment, the majority of our segments are still seeing rate increases. It's this shifting of mix given some of it, again, is driven by calendar comparisons, which is putting the downward pressure on rates. We're going to finish the month of April running high 70% occupancies close to 80% occupancies. I expect it to be close to in line with where we finished last year. The incremental pressure has been on rate. And again, as you alluded to, it's really driven by the shifting in mix.
Chris Woronka: Okay. Very good. Thanks for all the details, Jon.
Jonathan Stanner: Yes. Thanks, Chris.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Michael Bellisario with Baird. Your line is open. Please go ahead.
Michael Bellisario: Thanks. Good morning, guys.
Jonathan Stanner: Good morning, Mike.
Michael Bellisario: And Jon just wanted to go back to margins. I know you mentioned sort of contract labor and lower turnover, but anything else sort of more proactive that you're doing in terms of, I don't know, maybe headcount reductions, reduced hours, changing F&B menus, pricing, things like that or is it more sort of more of the same just sort of on the contract labor and turnover side of things?
Jonathan Stanner: Look I think that's been the major driver of what's held margins in check. We're still running, really high occupancies. And so we haven't gone to as we kind of alluded to in the last question, we haven't gone to, COVID era levels of cutting expenses, whether that's related to cleaning rooms or how we're managing shifts. We're just not there yet. The demand is still there. As Trey kind of alluded to, there's still some room for us to go particularly on the contract labor side. And as we've seen some softening broadly in the labor markets, that's really helped us to keep margins in check. So there haven't been kind of these deeper cuts that we've had to utilize in prior downturns that were more severe from a demand perspective, because again our occupancies are still high and the demand is still there. Those levers are there and available to pull to the extent that we need to if we see a more significant downturn in demand.
Michael Bellisario: Okay. Understood. And then second question just sort of on the buyback announcement and then capital allocation more broadly, maybe if this is the first time as a public company, you guys have had an authorization in place. Maybe how do you fund it? How do you balance leverage? I mean do you accelerate asset sales from here? Just maybe some more thoughts on sort of triangulating everything and the thought process behind when and how you use that buyback. Thanks.
Jonathan Stanner: Yes. No, look, you're correct. I mean this is the first time we've done it. And we've actually talked about this in the past on these calls about this hasn't been necessarily historically the preferred way to allocate capital. Our belief today is that the dislocation in the equity prices, particularly our stock price has gotten so extreme that this really kind of skews the risk reward of this investment asymmetrically to the positive. We recognize that there's always some risk to the operating outlook, but we think what's being priced into the stocks today infers something that's really dramatic to the downside. Our balance sheet is in good shape. As we said, we've taken care of all of our maturities through the end of next year. We have a lot of liquidity, we have the ability to do this. In terms of how we think about funding it, it's going to be a combination of a couple of things. One, we've scaled back on our CapEx expectations for the year. We probably will continue to look to opportunistically sell assets to fund a portion of this. And while we don't really want to lever the balance sheet up in any meaningful way, even if we cut nothing else out from a CapEx perspective or a sale perspective, utilizing the full program takes the leverage profile of the business up about a quarter of return or less than 5%. And again, given the health of the balance sheet, we feel like we have the ability to do that in the short-term. So again, we think this is a really compelling and timely opportunity to buy some stock back at what we believe is a really attractive basis.
Michael Bellisario: Got it. That's very helpful. And then just one more follow-up. Maybe can you give us the latest thoughts and conversations with your joint venture partner and sort of how they are thinking about the world and how their capital deployment view may or may not have changed recently? And that's all from me. Thanks.
Jonathan Stanner: Yes. Thanks, Mike. Well, I'd say that, look, we do stay in very regular contact with them. I think, like everybody else, this is an uncertain environment. And so the first thing I would say is there's -- we expect transaction activity to slow off of what has already been fairly low levels. I don't think we're at a period where you're going to see at least in the near-term a lot of distressed selling, and underwriting in this environment is difficult. That being said, as we always reiterate, they are very well-capitalized, and in many ways, they're built to take advantage of environments where you see dislocation in values. We haven't seen that yet. It's certainly possible that we will see it. And look we're very fortunate to have them as a partner because it allows us to participate in those opportunities to a greater extent. So again I think that they are very much kind of watching the markets evolve, but certainly will be willing and able to participate to the extent there is meaningful valuation dislocations.
Michael Bellisario: Understood. Thank you.
Jonathan Stanner: Thanks, Mike.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to Jon Stanner for closing remarks.
Jonathan Stanner: Well, thank you all for joining us today. We look forward to seeing many of you over the next couple of months at the various conferences. Hope you all have a nice day. Thank you.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.